Operator: Good morning, and welcome to the First Quarter 2026 Earnings Conference Call for D.R. Horton, America's Builder. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. Please note this conference is being recorded. I will now turn the call over to Jessica Hansen, senior vice president of communications for D.R. Horton. Jessica, please go ahead.
Jessica Hansen: Thank you. Sorry. It would help if I took myself off mute. Thank you, Paul, and good morning. Welcome to our call to discuss our financial results for the 2026Q1. Before we get started, today's call includes forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Although D.R. Horton believes any such statements are based on reasonable assumptions, there's no assurance that actual outcomes will not be materially different. All forward-looking statements are based upon information available to D.R. Horton on the date of this conference call, and D.R. Horton does not undertake any obligation to publicly update or revise any forward-looking statements. Additional information about factors that could lead to material changes in performance is contained in D.R. Horton's annual report on Form 10-K, which is filed with the Securities and Exchange Commission. This morning's earnings release and our supplemental data presentation can be found on our website at investor.drhorton.com, and we plan to file our 10-Q later this week. After this call, we will also post our updated investor presentation to our Investor Relations site on the Presentations section under News and Events for your reference. Now I will turn the call over to Paul Romanowski, our president and CEO.
Paul Romanowski: Thank you, Jessica, and good morning. I am pleased to also be joined on this call by Michael Murray, our chief operating officer, and Bill Wheat, our chief financial officer. The D.R. Horton team had a solid start to fiscal 2026 with consolidated pretax income of $798 million on $6.9 billion of revenues and a pretax profit margin of 11.6%. New home demand remains impacted by affordability constraints and cautious consumer sentiment. However, our teams continue to respond to current market conditions with discipline. We exceeded the high end of our revenue and closings guidance, achieved a home sales gross margin within our expected range, and our net sales orders increased 3% compared to the prior year quarter, demonstrating our ability to balance pace, price, and incentives to drive incremental sales and maximize returns. We are focused on capital efficiency to generate strong operating cash flows and deliver compelling returns to our shareholders. Over the past twelve months, we have generated $3.6 billion of cash from operations, and we have returned $4.4 billion to shareholders through repurchases and dividends. For the trailing twelve months ended December 31, our homebuilding pretax return on inventory was 18.6%, while our consolidated returns on equity and assets were 13.7% and 9.4%. Our return on assets ranks in the top 20% of all S&P 500 companies for the past three, five, and ten-year periods, demonstrating that our disciplined returns-focused operating model produces sustainable results and positions us well for continued value creation. We increased our sales incentives during the first quarter, and we expect incentives to remain elevated in fiscal 2026, with the level dependent on demand, changes in mortgage interest rates, and overall market conditions. We work every day to use our industry-leading platform, unmatched scale, efficient operations, and experienced employees to bring homeownership opportunities at affordable price points to more Americans. 64% of our mortgage companies' closings this quarter were to first-time homebuyers. We will continue to tailor our product offering, sales incentives, and number of homes in inventory based on demand in each of our markets to maximize returns. Michael?
Michael Murray: Earnings for the 2026 were $2.03 per diluted share compared to $2.61 per share in the prior year quarter. Net income for the quarter was $595 million on consolidated revenues of $6.9 billion. Our first quarter home sales revenues were $6.5 billion on 17,818 homes closed, compared to $7.1 billion on 19,059 homes closed in the prior year quarter. Our average closing price for the quarter was $365,500, flat sequentially and down 3% year over year. Our average sales price on homes closed is lower than the average sales price of new homes in the United States by roughly $135,000, almost 30%. Additionally, the median sales price of our homes is $70,000 lower than the median price of an existing home. Bill?
Bill Wheat: For the first quarter, our net sales orders increased 3% from the prior year quarter to 18,300 homes, while order value remained unchanged at $6.7 billion. Our cancellation rate for the quarter was 18%, consistent with the prior year quarter and down from 20% sequentially. Our average number of active selling communities was up 2% sequentially and up 12% year over year. The average price of net sales orders in the first quarter was $364,000, which was flat sequentially and down 2% from the prior year quarter. Jessica?
Jessica Hansen: Our gross profit margin on home sales revenues in the first quarter was 20.4%, up 40 basis points sequentially from September, entirely due to a recovery of prior period warranty costs received during the quarter. On a per square foot basis, home sales revenues were flat sequentially, while stick and brick costs were down roughly 1% and lot costs increased 2%. Excluding the 40 basis point benefit in our gross margin quarter from the recovery of prior warranty costs, our home sales gross margin would have been 20%. Additionally, incentives increased as we moved throughout the quarter, so we expect our home sales gross margin to be lower in the second quarter compared to the first quarter. Our incentive levels and home sales gross margin for the remainder of the year will be dependent on the strength of demand, changes in mortgage interest rates, and other market conditions. Bill?
Bill Wheat: Our first quarter homebuilding SG&A expenses decreased 1% from last year, and homebuilding SG&A expense as a percentage of revenues was 9.7%, up from 8.9% in the prior year quarter. The increase in our SG&A expense ratio was primarily due to our lower home closings volume as compared to the prior year quarter. We continue to manage our platform with discipline and are focused on gaining market share efficiently while driving operating leverage over time. Paul?
Paul Romanowski: We started 18,500 homes in December, up 27% sequentially from the fourth quarter, and we expect our starts in the second quarter to be higher than the first quarter. We ended the quarter with 30,400 homes in inventory, of which 20,000 were unsold. 7,300 of our unsold homes at quarter-end were completed, down 2,000 homes from September. 900 of our unsold homes have been completed for greater than six months. For homes we closed in the first quarter, our median cycle time measured from home start to home close decreased two weeks from a year ago. Our improved cycle times enable us to hold fewer homes in inventory and turn our housing inventory more efficiently. We will continue to manage our homes in inventory and starts pace based on market conditions. Michael?
Michael Murray: Our homebuilding lot position at December 31 consists of approximately 590,500 lots, of which 25% were owned and 75% were controlled through purchase contracts. We are actively managing our investments in lots, land, and development based on current market conditions. We remain focused on our relationships with land developers across the country to allow us to build more homes on lots developed by others, which enhances our capital efficiency, returns, and operational flexibility. Of the homes we closed this quarter, 67% were on a lot developed by either Forestar or a third party, up from 65% in the prior year quarter. Our first quarter homebuilding investments in lots, land, and development totaled $2 billion, of which $1.3 billion was for finished lots, $610 million was for land development, and $80 million was for land acquisition. Paul?
Paul Romanowski: In the first quarter, our rental operations generated $110 million of revenues from the sale of 397 single-family rental homes. Our rental property inventory at December 31 was $2.9 billion, which consisted of $2.5 billion of multifamily rental properties and $356 million of single-family rental properties. We remain focused on improving the capital efficiency and returns of our rental operations. As for our financial services operations, pretax income for the first quarter was $58 million on $185 million of revenues, resulting in a pretax profit margin of 31.4%. Michael?
Michael Murray: Forestar, our majority-owned residential lot development company, reported revenues for the first quarter of $273 million on 1,944 lots sold, with pretax income of $21 million. Forestar's owned and controlled lot position at December 31 was 101,000 lots. 62% of Forestar's owned lots are under contract with or subject to a right of first offer to D.R. Horton. $180 million of our finished lots purchased in the first quarter were from Forestar. Forestar's strong, separately capitalized balance sheet, national operating platform, and lot supply position them well to provide essential finished lots to the homebuilding industry and aggregate significant market share over the next several years. Bill?
Bill Wheat: Our capital allocation strategy is disciplined and balanced to support an operating platform that produces attractive returns and substantial operating cash flows. We have a strong balance sheet with low leverage and healthy liquidity, which provides us with significant financial flexibility to adapt to changing market conditions and opportunities. During the first three months of the year, homebuilding cash provided by operations was $498 million, and consolidated cash provided by operations was $854 million. During the first quarter, we repurchased 4.4 million shares of common stock for $670 million, and our outstanding share count is down 9% from a year ago. We also paid cash dividends of 45¢ per share totaling $132 million, and our board has declared a quarterly dividend at the same level to be paid in February. At quarter-end, our stockholders' equity was $24 billion, down 4% from a year ago, and book value per share was $82.60, up 5% from a year ago. By December 31, we had $6.6 billion of consolidated liquidity consisting of $2.5 billion of cash and $4.1 billion of available capacity on our credit facilities. Debt at the end of the quarter totaled $5.5 billion, and we have $600 million of homebuilding senior notes maturing in the next twelve months. Our consolidated leverage at December 31 was 18.8%, and we plan to maintain our leverage around 20% over the long term. Jessica?
Jessica Hansen: Looking forward to the second quarter, we currently expect to generate consolidated revenues in the range of $7.3 billion to $7.8 billion and homes closed for our homebuilding operations to be in the range of 19,700 to 20,200 homes. We expect our home sales gross margin for the second quarter to be in the range of 19% to 19.5%, and our consolidated pretax profit margin to be in the range of 10.6% to 11.1%. For the full year of fiscal 2026, we still expect to generate consolidated revenues of approximately $33.5 billion to $35 billion and homes closed by our homebuilding operations to be in the range of 86,000 to 88,000 homes. We continue to forecast an income tax rate for fiscal 2026 of approximately 24.5%, operating cash flow of at least $3 billion, common stock repurchases of approximately $2.5 billion, and dividend payments of around $500 million. Paul?
Paul Romanowski: In closing, our results and position reflect our experienced teams, industry-leading market share, broad geographic footprint, and focus on delivering quality homes at affordable price points. All of these are key components of our operating platform that support our ability to aggregate market share, generate substantial operating cash flows, and return capital to shareholders. We recognize the current volatility and uncertainty in the economy and will continue to adjust to market conditions in a disciplined manner to enhance the long-term value of our company. Thank you to the entire D.R. Horton family of employees, land developers, trade partners, vendors, and real estate agents for your continued efforts and hard work. Let's continue working to improve our operations and provide homeownership opportunities to more individuals and families during 2026. This concludes our prepared remarks. We will now host questions. Thank you. At this time, we will be conducting a question and answer session.
Operator: In the interest of time, we request that each participant limit themselves to one question and one follow-up on today's call. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. One moment please while we pull for questions. And the first question today is coming from Stephen Kim from Evercore ISI. Stephen, your line is live.
Stephen Kim: Yeah. Thanks very much, guys. Actually, you know, quite impressive here given the headwind. So congratulations to you guys. I wanted to ask you about your SG&A, if I could. I think that it was probably a little higher, my guess is, than you expected. And I was curious, you attributed the higher level primarily due to lower closings year over year, but your closings didn't miss your expectations or guide. And so I and, actually, it beat. So I was kind of curious. Did the SG&A sorta surprise you? And was there anything else other than the fact that you had, you know, some lower closings, you know, just given the fact that it didn't really sort of square with how your closings came in. Was and particularly within that, could you is there anything in the way of incentives or something that is showing up in SG&A?
Paul Romanowski: Steve, not nothing unusual in SG&A this this quarter. Overall, relatively in line with our plan. We hit our operating margin guidance for the quarter. If you look at the overall spend on SG&A, it was down slightly year over year in terms of absolute dollars. And as we look at our platform and look we look at what we're planning to do this year, we're planning on growing our close Our guide is to grow our closings for the year. And so we're maintaining our platform in place. But our first quarter closings were down. And and just we get less leverage on our SG&A when we have fewer closings during the quarter. But our expectation is for the year is we would not continue to see this this kind of increase as a percentage of revenues over the course of the entire year.
Stephen Kim: So just to clarify, you're saying your guide for the year is for SG&A to be kind of flattish on a year over year basis as a percentage of revenues. Is that what saying? We we
Michael Murray: we don't guide any of our margins or expense ratios over the course of an entire year. We just guide one quarter out. We're guiding our operating margin for Q2 and our gross margin for Q2, and then obviously our our volume for the entire year.
Stephen Kim: Gotcha. Okay. And then I guess, you you've also, you know, talked about your capital allocation and your sorry, in specifically, you reiterated your guide for cash flow. And I was curious if you I think in the past, you had talked about cash flow targeting a cash flow conversion of a about 100%. Could you talk about how that progression is going and whether or not that's still a reasonable expectation in the foreseeable future?
Michael Murray: Yeah. That's still reasonable expectation. We're still guiding. We reiterated our guide to have cash flow consolidated cash flow greater than $3 billion. We're I think we're tracking right in line with expectations.
Stephen Kim: Great. Thanks a lot, guys.
Operator: Thank you. The next question will be from John Lovallo from UBS. John, your line is live.
John Lovallo: Good morning, guys. Thanks for taking my questions as well. Strong community count growth in the first quarter of about 12% year over year on average. How are you guys thinking about kind of the cadence of community count growth as we move through the year? John, that community count is up. It was up 12%. And 2% I think sequentially. And we still think we're gonna see, you know, that community count continue to stay at a higher level, but we do expect it to drift down more towards mid single to high single digit range. We're pleased to have the community count out there today as we seen absorption across the market, not seeing as much absorption, per flags having the additional communities, allows us to, maintain our guide. And still feel, comfortable with, with where we're positioned today. As we see the spring season unfold.
Matthew Bouley: Understood. And then if we walk from the fourth quarter gross margin of 20%, excluding the inventory reserve or the warranty I'm sorry, the warranty reserve benefit. What are sort of the moving pieces there? I know, Jessica, you mentioned that incentives kind of stepped up as you move through the quarter. But how are you thinking maybe about land, labor and materials on a sequential basis?
Jessica Hansen: Sure. First, John, just as a reminder, in Q4, we also had an unusual item flowing through our warranty and litigation costs. We had 60 basis points of greater than typical litigation costs last quarter. This quarter, we had the opposite direction of 40 basis point benefit from those warranty costs. So kind of on an apples to apples basis, our fourth quarter gross margin was 20.6%. Our Q1 gross margins 20%. And then our guide for the quarter is 19% to 19.5% in Q2. So at the midpoint, we're estimating to be down 75 basis points. Quarter over quarter. The guide really reflects what we've been seeing, which is our stick and brick cost relatively flat. Sequentially and slightly down year over year. Is what we really posted this year or this quarter as well. Expect our lot cost to continue to be up sequentially and on a year over year basis. Based on we currently see in our lot pipeline. And then as I did say on the call, we had to use a a higher level of incentives as we move throughout the quarter. So the guide really, most importantly, incorporates the most recent market conditions we've seen and our backlog margin coming out of the quarter at the December.
Matthew Bouley: Got it. Thank you, guys.
Operator: Thank you. The next question will be from Matthew Bouley from Barclays. Matthew, your line is live.
Matthew Bouley: Wanted to stick on the incentive topic. If I'm hearing you correctly, I mean, it sounds like that Q2 guide is reflecting of your increase in incentives over the past quarter in terms of what you're selling. So, you know, obviously, we've had this move lower in mortgage rates over the past several months, over the past couple weeks, etcetera. I mean, does the move lower in rates at at a certain point either support that kind of cost of incentives, for you guys? Or know, are you able to kinda do anything creatively around, you know, ARMs or temporary buy downs, etcetera, in this backdrop? Just kinda any visibility to where you know, you you might see that incentive sort of peeking out at some point. Thank you. The cost of the incentives that came through in the the first quarter were largely resulted from interest rate loss provided when rates were slightly higher, therefore, a higher cost. The Excel we accelerated the use of those incentives throughout the quarter and the exiting incentive levels in December are heavily coloring our margin outlook for the second quarter. If rates continue to compress, and stay compressed, would expect to see a slight decrease in the cost of providing those incentives but that's not yet factored into any of our guidance.
Matthew Bouley: Okay. Perfect. And secondly, maybe just sticking on this topic of lower rates. I know we can't always read too much into the first three weeks of the calendar year, but just any color on sort of the cadence of demand, traffic and sales maybe through the quarter and then since you have gotten this move lower in rates, in in recent weeks, is is there just any kind of signals you can take from the past couple weekends on on how buyers are responding to that? Thank you.
Paul Romanowski: Matt, I would say through the quarter, relatively consistent with what we would expect to see seasonally. You know, entering into that quarter and being one of the lower quarters in terms of overall demand As we enter into the the spring and and the first two weeks really too early to tell, you know, what we're gonna see as far as trajectory into the spring. But, you know, when we see those kind of rates moves in rates and hovering right around six, it does does spur some activity in our sales offices. And I think today, feel good about our position. In terms of our inventory, our community count, and the level of sales we've seen through the first quarter and into the first couple weeks here, of the second quarter to reaffirm our guidance for the year.
Matthew Bouley: Alright. Thanks, Paul. Good luck, guys.
Operator: Thank you. The next question will be from Alan Ratner from Zelman. Alan, your line is live.
Alan Ratner: Hey, guys. Good morning. Thanks for the color so far. You know, obviously, there's a lot of focus, on the policy side, and I'm sure we'll we'll hear some more from President Trump this week on that front. But, I guess, first off, in terms of what has been announced so far or at least floated out there, you know, with specific regard to your rental business, I'm I'm curious how you're thinking about that in the context of the proposed ban on institutional buyers, purchasing single-family homes. I know you guys have been kind of reducing investment in rental in general, but, you know, how are how are you thinking about managing that business investment there, building out communities know, with the uncertainty hanging over the that part of the business?
Paul Romanowski: Alan, our, you know, our focus on SFR rent has has largely been and continues to be on purpose-built communities. And believe that that's a good place for us to continue to stay focused. We don't sell, many homes to institutional buyers in our for-sale communities. So for us, really not much competition for those people that are coming in to buy a home, looking for a home. You know, and whether it's first time move up or or any one of our segments. We think we'll continue to stay focused there. And with our SFO SFR business, shifted more from, a full, build, lease, and then sell fully stabilized assets to more of a forward sales scenario. So feel really good about position of our, single-family rental business. And we'll see how all of this plays out over time, but, feel good about our position there.
Alan Ratner: Okay. I appreciate that. Obviously, we'll we'll see whether there's any type of exclusion or carve out for those purpose-built communities. I think, obviously, there's a good, argument for that to be the case. But, shifting gears little bit in terms of the landmark, I'm curious if you could talk a little bit about you're seeing on the land front in terms of costs started to come down at all in the land market? Are you seeing more of a you know, bid ask spread widening and kinda and of a slowdown in overall activity, development cost inflation. Any color you can give there because, obviously, I think that's gonna be a necessary component towards rebuilding the industry's gross margin is to see some relief on land costs and development inflation.
Paul Romanowski: I don't think we've seen significant capitulation in the land, the raw land market itself. I think the sellers there fairly patient. We have seen probably some progress on some of the development cost aspects that that activity levels have slowed. And further, we've seen some improved terms. Not a a tremendous amount of price discounts or any distress opportunities, but but rational conversations with our land development partners about meeting the market together and working through communities at acceptable paces. We've seen some adjustments in pacing, which has been very helpful. But we haven't seen any broad defaulted deals or or new deals coming deals coming back to the market over and over again with distressed sellers.
Alan Ratner: Got it. Alright. Thanks, guys. Appreciate it.
Operator: Thank you. The next question will be from Ryan Gilbert from BTIG. Ryan, your line is live.
Ryan Gilbert: Hi, thanks and good morning everyone. I just wanted to go back on the on, I guess, the the year to date, demand trends Paul, it sounded like you said that when rates get to around 6%, you see a pickup in the sales in the sales offices. Has that been the case so far in January? Have you seen a pickup in homebuyer demand given the the drop in rates?
Paul Romanowski: We've been pleased with what we've seen so far. Again, it's early very early in the spring selling season, and we'll see how that plays out over time. But feel good about our positioning. And and anytime you see you know, the the rates move across a a threshold like that, it certainly creates more activity in our in our sales offices. Okay. Got it. Thanks. And then on the on the supply side, it looked like maybe there was a step down in industry-wide housing starts, and I think we're seeing some move lower in in resell inventory as well. Are there any markets where you've where you're seeing any any benefit from you know, less inventory coming online or maybe supply or home construction dropping that could potentially help, help margins going forward?
Paul Romanowski: I I don't think there's any specific markets I can speak to where we've seen any significant shift in supply. I do believe that you know, it's been pretty rational approach to the market in terms of of starts for us and and across the industry. We feel good about our inventory position. We our starts slightly exceeded our sales this quarter. We do expect our starts to be more in the second quarter than in our first. And, you know, what we watch closely is the number of completed homes that we have, and that is down a couple thousand units sequentially this quarter over last. So so feel good about our positioning. The amount of supply we have in the markets, and have the homes we need to meet demand in the spring selling season.
Ryan Gilbert: Great. Thank you.
Operator: Thank you. The next question will be from Sam Reid from Wells Fargo. Sam, your line is live.
Sam Reid: Thanks so much. Why don't you just do a quick postmortem on the warranty cost piece of gross margin and that reversal you called out in the first quarter? First of all, were you expecting to get a reversal there? And then second, is there any warranty noise we should be contemplating in the second quarter guide? And then perhaps just want to talk to kind of what should we be thinking about for warranty costs within gross margins on a go forward basis?
Jessica Hansen: Sure, Sam. The warranty recovery was something we've been working on for a period of time to recoup some costs that we've had to incur that you'll see when we file our 10-Q. We're predominantly in our San Antonio market in the South Central Region. So we were pleased to get that settlement in and be able to net that against the warranty cost that we incurred during the quarter. We also did see just slightly overall level slightly lower level of warranty and litigation costs incurred this quarter than our typical. And you layer that into also the the litigation costs last quarter, and and you see a big swing in the warranty and litigation cost line item in our gross margin supplemental detail that we provide that was actually a 20 basis point benefit We would expect going forward that to be more normal. And if you go and look at prior quarters outside of the last two, it's, call it, anywhere from 30 to 60 basis points that we net against our our gross home sales gross margin for warranty and litigation costs. And we don't know of anything at at this time that would make that be different in the go forward quarters. The last two quarters have just been unusual in terms of what's happened.
Sam Reid: That helps, Jessica. And then switching gears here, one of one of your big competitors is stepping up the use of arms Can you just remind us your mix of arms and where that sits relative to last quarter and last year? And then if there is any change in your arm cadence, any implications for financial services margins that we should be cognizant of?
Paul Romanowski: Our use of ARMs is in the low single digit as a percent of of homes financed through our mortgage company. And although we've seen some more attractive ARM products, that, for us, if they can be utilized for long-term approval, meaning that they're a longer-term ARM, then we've seen some. But it it hasn't stepped up much. Still, the the incentive used most when we talk about rates is for our buyers and through our mortgage company is thirty year. Fixed rate.
Jessica Hansen: Yeah. So when Paul says low single digit on ARMs, that's just an absolute ARM product that is their product. If you look at the rate buy downs we're utilizing, we did see a tick up. In temporary buy downs that we layered in on top of the permanent. That was more like a low double digit percentage this quarter. But that's been running anywhere from a mid to high single digit percentage.
Sam Reid: All incredibly helpful. Thanks so much.
Operator: Thank you. The next question will be from Eric Bosshard from Cleveland Research. Eric, your line is live.
Eric Bosshard: Thanks. Good morning. The comments you've made about affordability, I'm just curious Obviously, there's some hope for some external solution to affordability. But absent that, the steps that you're looking at, to address affordability you're doing with incentives is having some effect. But are there any structural things you're evaluating or taking, in regards to house size or house construct or location or or even markets that you're considering related to this ongoing affordability issue?
Paul Romanowski: Eric, we focus every day on on meeting the homeowners where they need to be, especially on a monthly payment. And for us, and in today's market, the reality of of home pricing, and cost of materials and cost of land is is that we have seen continued introduction of smaller homes, whether that's, you know, a, plan or two inside of an existing community or you know, a whole community focused at more affordable price points for us. The biggest limiter to some of that and creating more of that tends to be lot size. And minimum lot size requirements at the municipal level where we can achieve that and get to a little higher density with more efficiency and provide a house that, that meets the monthly payment needs especially if we're first time homebuyers, we see success there. And so we have focused on that across markets, and I wouldn't say there's particular area where we're seeing that more maybe other than those municipalities that, that are a little more flexible and allow us to go meet the market where it wants to be met.
Eric Bosshard: Okay. And then and then secondly, if I could, the the first time market first time customer, you is about two thirds of the business. I'm curious, is other third of the business behaving similarly to that two thirds for the first time? Or is is there some difference in performance, price sensitivity, traffic volume, anything that's notably different?
Paul Romanowski: I I wouldn't say anything note notably different. You know, there's there's a lot of of macro discussion going on, which I think impacts buyer sentiment in the market, and we've seen some consistency across that Certainly, as you move up the price curve and there's less sensitivity to to rates that that that move up homebuyer can can move, you know, with a little more consistency when they want to and as they want to. So but I would say overall, haven't seen a specific trend, which which shows a big separation of what's happening in our first time homebuyer market compared to our our move up.
Operator: Thank you. The next question will be from Anthony Pettinari from Citigroup. Anthony, your line is live.
Anthony Pettinari: Good morning. As you think about '26, do you expect to continue to outgrow the market or maybe could you be more in line with the market? Or are there regions where you're willing to let go of a little share to maintain margin? And then just in terms of your spec count down year over year, is that just reflecting expectation for just kind of maybe a a tougher spring season versus last year?
Paul Romanowski: I think in terms of looking at our growth expectations relative to the market, we are expecting to grow this year. Are certainly positioned for growth with the increase in markets served over the past few years. As well as significant increase in community counts being up 12% year over year. But we take that community by community and market by market looking to maximize the returns there. And where we can aggregate market share profitably, we'll continue to do so as we've done the company's history. And the second part of your question, Specs decline. On the specs decline. The the spec decline is something that we've been focused on with compressing our building times and our cycle times that we're able to be more efficient, the capital deployed in a given neighborhood. And more responsive to more immediate buyer buyer demands when they walk in. So the spec count reduction has been deliberate and purposeful. And it's not a limiter necessarily on our growth as it has been in the past. Because we can build homes faster than we ever have been able
Anthony Pettinari: Okay. That that's very helpful. And then just following up on kind of the policy we talked about, I think, a few proposals, but I'm just curious what policies you think could be most helpful or impactful in terms of improving housing activity and getting more folks in homes in kind of a sustainable way.
Paul Romanowski: Anthony, you know, we're we're pleased that the administration acknowledges housing affordability is an issue and that there's a lot of focus on that from from a lot of folks and and think that it needs to be a focus There you know, there's lots of of different things that could be done on both the supply and the demand side. But ultimately, you know, consumers feeling good about where they are today. Seeing the resale market open up, seeing availability at the local level, of willingness to, to for us to go drive more affordable housing into the market. All of those things, I think, would be helpful, and we'll see how all of this plays out over time.
Jessica Hansen: And we're already doing more to address affordability, I'd say, than any other builder out there. And you know, we'll see what ultimately comes out of the policy, but we will believe we're the best builder to take advantage of if there is any sort of demand pickup out there, particularly for the first time homebuyer.
Anthony Pettinari: Okay. That's helpful. I'll turn it over.
Operator: Thank you. The next question will be from Michael Rehaut from JPMorgan. Michael, your line is live.
Michael Rehaut: Hi, good morning. Thanks for taking my questions. Yeah. First, I wanted to focus on, there was recent tweets, I guess, or comments made by the FHFA director, directly speaking to share repurchases by large homebuilders in contrast to putting out more volume in the market. So I wanted your thoughts on that Obviously, today, you reiterated your outlook for $2.5 billion of share repurchases for the year. I'm curious if you've had any direct conversations with the FHFA regarding this because, you know, obviously, you guys are are mandated by all public companies You know, you have an obligation to your shareholders first and foremost, And so I'm just curious if there's been any discussions with the FHFA and and your thoughts on those those recent comments.
Paul Romanowski: Michael, we we have maintained our balanced approach. And, you know, you look at our starts pace this quarter sequentially, up 27%. As Jessica know, intimated providing know, affordable housing to more Americans today, I think 64% of the homes financed through our our mortgage company were first time homebuyers in closing this quarter. We feel very good about our position to continue, to meet that demand and, provide the that we need out there. No direct conversations for us around buybacks and feel like a balanced approach, and that's why we reiterated what we plan to do on our guidance for the year. Feel like we're in great position to continue to provide the housing that we need to with the cash flow that we're generating to both invest in our operations and our business and to provide returns and return money to our shareholders.
Michael Rehaut: Okay. Alright. Appreciate that. I guess, secondly, you kinda highlighted earlier in the call, that you know, your incentives went up. During the first quarter, and that's the appears to be the primary driver of the of the sequential decline in gross margins in the in the second quarter. Among other factors, I guess. Wanted to get a sense as a percent of sales, where you know, incentives ended the first quarter versus the beginning of the first quarter And if that shift occurred, towards the end of the quarter or was it kind of ratable throughout
Michael Murray: Yeah. Mike, the, increase in incentives was really throughout the quarter, sequentially increased throughout quarter. And so we exited the quarter at a higher level of incentives and a lower gross margin on our closings in in December than for the overall quarter. And so that's really the level that we carry into Q2. And so that's a a part of the driver of our guide for our Q2 margin.
Jessica Hansen: Pleased that incentives are still having the desired impact. Right? Our our sales were up 3% year over year. As a result of those efforts.
Michael Rehaut: Right. And and can you just remind us as what percent of sales incentives were by the end of the quarter versus the beginning of the quarter?
Jessica Hansen: We've been running a high single digit percentage today. We might have ticked up to low double digit.
Michael Rehaut: Great. Thanks a lot.
Operator: Thank you. The next question will be from Trevor Allinson from Wolfe Research. Trevor, your line is live.
Trevor Allinson: Hi, good morning. Thank you for taking my questions. A follow-up question on your view on current new home inventory levels in your markets. I appreciate it varies market by market. But if we were to focus on some of the more important geographies in Florida Texas, and so the other more important markets. Is there still excess inventory relative to demand? Or has the slowdown in starts we've seen across the industry here in the fourth quarter brought that more into equilibrium.
Paul Romanowski: I would say we still see pockets of elevated inventory and and that is market to market I don't think we're, you know, we're here today to call out anything with specificity as to where we're significantly overweighted in inventory, but certainly, you know, market by market, and and, submarkets inside of larger MSAs, And there are, you know, subdivisions and communities out there where, know, demand hasn't caught up with the amount of supply that's in the market, but we see that continue to right size across across our footprint.
Trevor Allinson: Okay. Thanks for that, Paul. That's very helpful. And then second, obviously, there's been a lot of activity on the policy side here. There's it was next expectation for a lot of activity. Rates have come down here. If those are successful in driving better demand this spring, how do you guys think about your preference to do more volume versus the 86,000, 88,000 closings target you have currently versus recapturing some margin as incentives still remain really elevated? Thanks.
Michael Murray: Trevor, we're gonna take a look at that community by community. And as always, we're gonna look to focus and driving the best return out of that given community based upon competitive dynamics at that submarket level. Replacement lot supply, and what our our demand trends are there and and where you know, there is opportunity for for margin expense, and we'll take it where it makes more sense to drive more pace. We'll do that as well. Looking for a balanced approach. You know, no different than what we've been doing. It's just responding to the current market conditions. In place in front of us sales office by sales office.
Trevor Allinson: Thank you for all the color. Good luck moving forward.
Operator: Thank you. The next question will be from Rafe Jadrosich from Bank of America. Rafe, your line is live.
Rafe Jadrosich: Hi, good morning. Thanks for taking my questions. As we head into spring selling, can you compare the market today versus, say, a year ago in terms of the demand and inventory that's out there?
Paul Romanowski: I I don't know that there's a direct parallel to be drawn. We are encouraged by the fact that we've still got people out there looking to buy a home. There's there's certainly not a lack of interest. I think it's it's breaking through the consumer confidence and seeing people feel feel good about their their decision to move forward. We are encouraged by the traffic we see out there today. I do believe that if you look at today over last year at this time, there's a little more balance of inventory. Certainly, we see that. Across our communities and think you see that, across the industry. So set up we believe we are in good position as we move into the spring selling season. Comfortable with where we're positioned with our communities, our community count, our inventory, and most importantly, our people in the field, taking care of buyers as they come into our models.
Rafe Jadrosich: K. Thank you. And then on the stick and brick side, I I think you said Pete, that in the fiscal first quarter, Stick and Brick costs were down 1% quarter over quarter. And I think you're guiding for it to be flattish quarter over quarter in the second quarter. Is it flattening out now Or is there still opportunity to take more cost out Where are you in the process of sort of clawing back some margin from the you know, either the trades or or or building product or distributors?
Paul Romanowski: We we believe there's still opportunity there, and and our reduction in starts was intentional, to give us the opportunity to meet with our trades, our vendors, or suppliers and, you know, look at the reality of of the market in front of us. So although our guide is too flat and and not seeing significant reduction in, stick and brick, Part of that too is it's a percent of of or it's based on a square foot basis, which is a little harder sometimes to measure based on mix and product and sizing. But we certainly feel like there's opportunity to continue to see some reductions in the cost of homes that we're putting.
Rafe Jadrosich: Great. Thank you.
Operator: Thank you. The next question will be from Susan Maklari from Goldman Sachs. Susan, your line is live.
Susan Maklari: Thank you. Good morning, everyone. My first question is thinking about the conditions that you that you've talked to and your ability to continue to hold on to that improvement that you've seen in cycle times and the efforts that you're realizing with your suppliers, if we do see somewhat of a lift in demand as we go through this year? Do you think you could continue to maintain that flexibility that you've realized?
Michael Murray: We've had long relationships with these trade partners. The last time we had a really significant production disruption was with partially labor, Largely, it was due to materials. Shortages. That is something we do not expect at all this time at all. Materials are in great shape. Product is available. And the relationships we've had with labor trades, you know, in in several markets going back thirty and forty years, consistently paying the bills on time, consistent starts cadence, and and a consistency of product deployed has been really helpful in maintaining you know, our our partnership with those trade bases.
Susan Maklari: Okay. And then maybe turning to the growth side of things, can you talk about what you're seeing in terms of some of the they're feeling today, your ability to perhaps leverage further M and A as an element of growth that you're looking to achieve
Paul Romanowski: We continue to look at opportunities that are in the market, and I think that that our focus has been more on the the tuck in opportunities to either expand our capacity in a particular market and or an entry into a market But, you know, we continue to evaluate those as they come towards us, and I think if see anything in the future, it'll be similar to what you've seen over the last several years. With the smaller builders that give us a solid platform and are a good fit to us in in markets.
Susan Maklari: Okay. You. Good luck with the quarter.
Operator: Thank you. The next question will be from Ken Zener from Seaport Research. Ken, your line is live.
Ken Zener: Thank you. Good morning, everybody.
Operator: Morning, Ken.
Ken Zener: Paul, with the orders of 3%, there's a community count effect there. But there's a lot of details asked today. My basic question is this. Demand is there. You need to offer some incentives, but it's demand is there amid very low job growth. For example, Dallas, you're familiar with, The job growth is around 30,000 year over year. It's it's well less than half the long term rate, yet you're still seeing demand. Can you talk to like where that demand is coming from amid such low job growth that we're seeing know, it's not just Dallas. It's in many different markets, yet you guys are still seeing activity. Is that we really need job growth to normalize to get your margins you know, in a more stable upward slope? Oh, I think job growth is is always gonna be key to, you know, overall household formation. And the demand side of of our business. There's no question there. I I do believe that, you know, we've our seeing continue to see, some pent up demand. And and as people, you know, grow and especially for our buyers, the first time homebuyer, that have delayed that home purchase decision and and making the decision today to come out of an apartment and or out of, their parents' home. Makes it a little less reliant on seeing just pure job growth to create household formation in some of the MSAs that we operate in. So I I do think it's a balance. I think long term, we absolutely need to see job growth and continued job growth. If we wanna see growth in in overall housing demand.
Ken Zener: Right. And I can you kinda comment that I mean, it's you know, AI and many different things today in the ten years up five or six basis points again. But do you feel like we're really pulling forward just from that quote you know, end up demand that didn't occur? Because it's it's quite odd that we're seeing demand so strong when job growth has been so weak. And it it begs the question if right, What if it stays weak? Do you pull you know, have you tapped essentially your demand that was there not tied to JobThroak? I'm just trying to figure it out because I would like do you know what your what do your people say when you don't have really good job growth yet Housing demand is there.
Jessica Hansen: Well, I think it's why we continue to prefer our focus on the entry level and first time buyer because they're a need based buyer. Everyone needs a place to live. And so if we can strike that right affordability, balance, they might need a little bit of help in terms of gift funds. From parents or relative. We continue to see just shy of 20% of our buyers utilizing our mortgage company are utilizing gift funds to to make that purchase. But the lower the price point we can put houses on the ground at, you know, the the more buyers that that are out there. Because once again, a first time buyer needs a place to live. If we can be competitive with rents, they're they're still interested in that home purchase.
Ken Zener: Thank you.
Operator: Thank you. The next question will be from Jade Rahmani from KBW. Jade, your line is live.
Jade Rahmani: Thank you very much. If rate do move lower, do you think homebuilders will choose to pass along that saving to buyers rather than take in the hopes that that would stimulate demand further?
Michael Murray: I think we continue to see a balance to meet the consumer where they are to the rate environment. And it would be a, you know, you spur additional demand and drive more pace, more units if that's gonna be the most incrementally positive lever we can pull on returns, then we would go that direction. If it's a community where there's more scarcity of supply, you know, it might result in an improvement in margins.
Jessica Hansen: Even with our increased incentives going to December, we kept our lowest thirty year fixed rate offering at $3.09 9. And so we would have the ability, to Mike's point, you know, we could always choose to go lower if rates move lower and it could cost us the same. Or if demand is just picking up and we don't need to move lower on that rate offering, we won't. But we did in the December stay with $3.09 9 as the lowest thirty year fixed rate buy down we were offering.
Jade Rahmani: And what's sixty four percent first time homebuyer in your mortgage company, Could you give any color as to whether you think an allowance of four zero one k savings to be used for deposit, down payment would move the needle at all? Could that be material, or do you think it's, unlikely to be so?
Paul Romanowski: I think anything that opens up the ability of people to either get to a monthly payment and or get to a down payment, which is a two things especially for a first time homebuyer that we need to solve for. Right? It's getting to a monthly payment that they're comfortable with, can and should afford, as well as the down payment that they need to purchase a home. So we absolutely think it it will be helpful to what level. We'll see what gets put forward in terms of policy and how that plays out. But anything that that we see to help get people moving, not just in the new home market, but in the resale market as well. We believe is accretive to, to our performance.
Jade Rahmani: Thanks.
Operator: Thank you. And the next question will be from Alex Barron from Housing Research Center. Alex, your line is live.
Alex Barron: Hi. Good morning. I just wanted to confirm the volume guide you guys are giving, is that just for the wholly owned communities, or does that also include the homes you guys are doing in rental communities?
Jessica Hansen: Sure, Alex. Our our home closings guide for the year is for by our homebuilding operations, so it does not include single-family rental, but our revenue guide for the full year is consolidated revenues. It would anticipate our rental revenue included in that.
Alex Barron: Got it. And, I wanted to ask on the on the margin guidance. Was that mainly driven by you know, offering higher incentives in the way of rate buy downs or more, like, in the way of price cuts?
Michael Murray: Mostly, incentives, based on buydowns and based on the level of, buydowns and incentive costs we were seeing as we exited Q1, really driving the the Q2 levels.
Alex Barron: Okay. And if I could ask one last one. Are you guys starting to feel any impact from tariffs and materials costs?
Jessica Hansen: No. We we still haven't taken any significant or notice increase in in a material due to a a tariff.
Alex Barron: Okay. Thank you, and best of luck.
Michael Murray: Thanks, Alex.
Operator: Thank you. This does conclude today's Q and A session. I will now hand the call back to Paul Romanowski for closing remarks.
Paul Romanowski: Thank you, Paul. We appreciate everyone's time on the call today and look forward to speaking with you again to share our second quarter results on Tuesday, April 21. Congratulations to the entire D.R. Horton family on achieving a solid first quarter. We are honored to represent you on this call and greatly appreciate all that you do.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.